Operator: Good afternoon, and welcome to the Fluor Corporation's Second Quarter 2013 Conference Call. Today's call is being recorded. [Operator Instructions] A question-and-answer session will follow management's presentation. A replay of today's conference will be available at approximately 8:30 p.m. Eastern Time today, accessible on Fluor's website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 11 a.m., Eastern Time, on August 7 at the following telephone number, (888) 203-1112. The passcode of 2083183 will be required. At this time, for opening remarks, I would like to turn the call over to Mr. Ken Lockwood, Vice President of Investor Relations. Please go ahead.
Kenneth H. Lockwood: Thanks very much, operator. Welcome, everyone, to Fluor's Second Quarter 2013 Conference Call. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer; and Biggs Porter, Fluor's Chief Financial Officer. Our earnings announcement was released this morning before market open, and we have posted a slide presentation on our website, which we will reference while making our prepared remarks. Before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on Slide 2 of the slide deck. During today's call and slide presentation, we will be making forward-looking statements, which reflect our current analysis of existing trends and information. There is an inherent risk that actual results and experience could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences, in the company's Form 10-Q, which was filed earlier today, and in the company's 10-K. During this call, we may discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and are posted in the Investor Relations section of our website at investor.fluor.com. With that, I'd like to turn the call over to David Seaton, Fluor's Chairman and CEO.
David T. Seaton: Thanks, Ken, and good morning to everyone and I appreciate everyone joining us this morning. Today, we'll be reviewing our results for the second quarter and discussing trends we see for the remainder of 2013. Now if you turn to Slide 3, I'd like to begin by covering some of the highlights of our second quarter financial performance. Net earnings attributable to Fluor for the quarter were $161 million or $0.98 per diluted share. I think this represents a good quarterly result when you consider the EPS was impacted by a $0.07 charge for the resolution of the last of the company's outstanding recorded claims. Otherwise, we met our expectations for the quarter. Consolidated segment profit for the quarter was $288 million, which was comparable to $287 million a year ago. Segment profit results were driven by strong growth in Oil & Gas, as well as growth in Power. These improvements were largely offset by the $17 million pretax charge relating to the final embassy claim. Consolidated revenue was $7.2 billion, reflecting growth in Oil & Gas and Power segments, which is offset to some degree by lower revenue in Industrial & Infrastructure, as well as Government. New awards for the quarter were substantial at $7.2 billion, including $3.6 billion in Industrial & Infrastructure and $3.3 billion in Oil & Gas. Consolidated backlog was right at $37 billion, which is down from a year ago, primarily due to the downturn in the Mining & Metals market. Having said that, the margin dollars in backlog and the margin percent in backlog are higher than they were last year. Our financial results are summarized in the table on Slide 4. And as you know, the full detail by segment is included in our earnings release. Now if you turn to Slide 5. Oil & Gas awards in the quarter include significant new scope on a large upstream project in Russia and a FEED award for Sasol's ethane cracker and associated derivative chemical facilities in Lake Charles, Louisiana. This important FEED program is already underway and is expected to be complete later this year. This project, along with Dow Chemical's projects that were awarded earlier, is further evidence that we are especially well positioned for the U.S. petrochemical buildout. Looking ahead, we expect to hear a decision relatively soon on the CPChem ethylene cracker, which we are bidding together with JGC. In addition to our strong position in petrochemicals, we're excited about a number of LNG prospects, which we are also proactively pursuing, some with JGC as well. And we're well into the FEED on the Anadarko's onshore facility in Mozambique, and we're currently pursuing export facilities for the Kitimat project in Canada and the Cameron project in Louisiana. We also continued to see a significant number of Oil & Gas opportunities internationally, including major upstream and downstream programs in Canada, Mexico, Kazakhstan, Australia, Asia and the Middle East. We expect that strong FEED demand will translate into EPC awards over the next few years. Ending Oil & Gas backlog was $18.7 billion, which is down modestly from $19.5 billion a year ago. Moving to Industrial & Infrastructure. The new awards for the quarter were $3.6 billion, which included $2.9 billion award for the expansion of the Cerro Verde copper project in Peru for Freeport-McMoRan. This construction management contract is a follow-on to the engineering and procurement phases that we recently completed. We also booked $184 million infrastructure contract to provide program management and construction supervision services for the $5 billion Sharq crossing program, part of Qatar's ambitious development plans ahead of the 2022 World Cup. Industrial & Infrastructure backlog ticked up to $16.2 billion in the second quarter, driven by the large mining award in Peru. Now please turn to Slide 6. The ending backlog for Government segment was $531 million. This compares to $505 million a year ago. New awards in the second quarter were $256 million, primarily for the LOGCAP task orders. We're beginning to see a reduction in the task order volume on LOGCAP contracts in Afghanistan. For the balance of 2013, we expect a quarterly revenue run rate of approximately $350 million to $400 million, which is below the $500 million run rate that we've generally experienced up through the first quarter. As I mentioned earlier, we recorded a $17 million charge in the quarter relating to a court ruling in our final embassy claim with the U.S. government. This result was particularly frustrating as the court ruled in our favor on 2 of the 3 central issues, yet awarded us only a small fraction of what we believe we're owed. We are considering an appeal to the amount of the award. Moving to Global Services. The segment reported $28 million in segment profit and $154 million in revenue. This group continues to be active in supporting projects, as well as external customers. Global Services organization is leading our effort to support and grow our integrated construction and fabrication and supply-chain capabilities. Our fabrication resources in Mexico, the Philippines and Canada are ready to support and in some cases, are already supporting some of the large projects globally. In anticipation of the huge demand for skilled craft resources in the Gulf region, we recently have opened training centers to support the Dow Chemical ethylene cracker complex in Freeport, Texas and expanded our welder training program in Houston. Power backlog was $1.6 billion at the end of the quarter. The group continues to track opportunities in new gas-fired plants, solar facilities, as well as plant betterment programs. Looking at the rest of 2013, I think we're on track to book the Brunswick County combined-cycle, gas-fired plant for Dominion Energy in the third quarter and see several opportunities for environmental retrofit projects later in the year. With that, I'd turn it over to Biggs to review some of the details of the operating performance, as well as some of the corporate financial metrics for the quarter. Biggs?
Biggs C. Porter: Thanks, David. Good morning, everyone. Please turn to Slide 7 of the presentation. As David indicated, consolidated backlog at quarter end was $37 billion. The percentage of fixed-price contracts in our overall backlog declined from 18% last quarter to 16% at quarter end. Our geographic mix stands at 70% international and 30% in the United States. Moving to corporate items on Slide 8. G&A expense for the quarter was $32 million, which is comparable to the last quarter and a year ago. The effective tax rate for the second quarter was 31%, which was on the low end of our expectations for the year. We expect the rate for the second half of the year to be in the 32% to 34% range. Shifting to the balance sheet. Fluor's financial condition remains very strong, with cash plus current and noncurrent marketable securities of $2.6 billion at quarter end. This is up about $100 million from where we ended last quarter but level with where we started the year. Cash flow from operating activities in the second quarter was $264 million, driven mainly by earning sources. While working capital balances were modestly better at the end of the quarter, on a year-to-date basis, we've seen reductions in advanced billing balances as we make progress on certain projects and increases in account receivable balances, mainly due to the timing of collections. It's worth noting that one major customer advance has now been fully utilized, so this should be less of a cash flow drag going forward. We expect more normal working capital patterns in the second half of the year, with corresponding improvements in the cash flow. If you look at our cash flow statement, you will see that we did not repurchase any shares during the second quarter. With the expectation that future cash flow will improve, we anticipate a resumption of share purchases in the second half of the year, consistent with our capital allocation philosophy. I will conclude my remarks by commenting on our guidance for 2013, which is on Slide 9. While we continue to see a number of opportunities in our Oil & Gas business, the charge relating to our final embassy claim and as we've stated last quarter, the slowdown in Mining & Metals have put pressure on the upper end of our EPS guidance range for 2013. As a result, we're tightening the EPS guidance range for 2013, $3.85 to $4.20 per diluted share, which compares to the previous range of $3.85 to $4.35. With that, operator, we're ready to take questions.
Operator: [Operator Instructions] We'll go first to Jamie Cook with Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: A couple of questions. One, David, could you just talk about how we should think about the burn rate related to mining in the back half of the year relative to what you originally thought and how we should think about that going into 2014? And then my second question relates to Oil & Gas. One, I think some of the projects that had more procurement roll-off in the first half of the year fairly soon, so can you talk about that and how that should potentially impact margins in the back half of the year? And then also, Kitimat and Cameron are 2 obviously big awards. Can you talk about the potential timing of them and what you think your positioning is with JGC relative to, I think, Kitimat, you're bidding against KBR and Kiewit. And Cameron, there's a number of bidders out there, but your likelihood of winning those projects?
David T. Seaton: Thanks, Jamie. With regard to mining, I guess I would characterize what's going on in mining is most of the miners are taking a deep breath, as think I've said before. I think the Cerro Verde award shows that there's still people ready to pull the trigger, spend money on things that make sense. I just spent last week in Australia on several of our job sites and I think the need is still there. So I think when you combine the markets, you combine the fact that each of the mining companies have basically new management teams. I would suggest that what we're seeing is a little bit of hiatus right now, and I believe that we'll see a resurgence of that as we get into mid '14 on some of these programs. Having said that, I think that we still have a fair amount of projects going on that still have to complete. And so I don't think you're going to see much of a change as we get into the second half of this year -- or we're already into the second half of this year. But I think it could have a little bit of slowing effect on the first part of next year just simply because of a lack of new awards that are going in. But the group is very active. We're doing a lot of still study work. There's still good projects out there, they're just not as big as the ones that we have experienced over the last bit of time, but I do see that it's going to improve. You're talking about Oil & Gas and there was 2 questions there, one on margin and one on LNG. As I've said in the prepared remarks, we're seeing better margin, both in terms of dollars and in terms of percentages in our backlog, which is a very good trend. And I see that continuing as we get into this next cycle. I'm not really going to comment on how that actually burns. But relative to LNG and I think our relationship with JGC, I'm very pleased with that. I think the team has done a really good job of looking at that market and coming up with an alignment that is satisfactory to us, as well as JGC. But frankly speaking, it's very satisfactory to our client base. On the timing, you know that, as well as I do, on the timing of Kitimat and Cameron, I think, Jamie, unless we have a really good opportunity to win something, we really don't go after it. So I feel good about our position. I feel really good about our relationship, our growing relationship with JGC. I've known them for many years and worked with them for many years around the world, primarily in the Middle East, back in the day when I lived out there. So I feel very good about where we stand from a strategic perspective and feel good about our ability to win some of these projects.
Jamie L. Cook - Crédit Suisse AG, Research Division: But David, just as a follow-up, I feel like in the first half of the year, in -- within Oil & Gas, there were some projects that weren't favorable to margins that roll off fairly soon. Is that fair outside of the pricing trends that you talked about and better utilization? And then two, within those 2 projects, within Kitimat and Cameron, I think some of the comments that have been made is the LNG projects, and potentially GTL projects, could have a greater probability of going sort of fixed-price versus cost-plus. So can you talk about sort of the risks associated with those projects going fixed price? And then...
David T. Seaton: Well, I think we're quite comfortable with fixed-price work. We've done that for a lot of years. It's just recently, we -- our percentages have dropped. So the fact that they are either negotiated lump sums or they're competitively bid lump sums, we feel like we can be competitive and we feel like we can be profitable in executing those programs. So I'm pretty confident about our ability to deliver on those projects. With regard to some of the burn-off, there are a couple of large projects, but I'd remind you that percentages are interesting, but not what I am most focused on. I'm focused on earnings growth with these projects. And if they have a fair amount of CFM in them, so be it, as long as we feel comfortable with the profit dollar growth. So yes, the one in Canada that has been a significant drag, I think, when you think of mining, it's got the same pattern. There's probably going to be a few more that we put in to backlog in the coming years that will have the same impact. And when I think of just the percentages, I'm interested in it, but I'm more interested in the margin dollars. And as I said, we're seeing margin dollars increase in backlog, which is, I think, is a good testament to our earnings power -- earning power going forward.
Operator: And we'll take our next question from Andrew Kaplowitz with Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: David, so just following up on Oil & Gas for a second, you've done a good job here of keeping book-to-bill around 1 over the first couple of quarters of the year. And I kind of thought your prospects might have been a little bit more back-end loaded. So as we go into the back half of the year and into next year, can you sustain that book-to-bill around 1? I know you're going to tell me it's lumpy. But generally speaking, can you sustain it? And then is it going to be really -- everybody continues to be focused on North America, but it seems like you guys have just as many prospects internationally. Would you sort of agree with that statement?
David T. Seaton: I absolutely agree with that statement. It's really good that the U.S. is in a growth mode. From an economic development perspective, it's a great story. And we're really well positioned, as I said, in most of those markets that are growing in the United States. So that's a good story, I think, for the U.S. in general and us specifically in executing those projects. But as I said in my prepared remarks, I mean, whether it's Canada or Kazakhstan, Asia, continuing work in Australia, I mean, the opportunities slate -- as I think I've said in the past, is as big as I've ever seen. And I think we're very well positioned in most cases. So to answer your first question, as you said, it will be lumpy. But I think as we go through the next probably 6 quarters, probably as far as I'd like to get out on a limb here, I think you're going to see some of the same book-to-burn ratios. There are a lot of big projects coming in between say, the fourth quarter of this year and the fourth quarter of next year.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay, that's great. So David, let's take the Bay Bridge question out of the way. So can you talk about the steel rod issue? There's obviously been some press on it. Do you still assume performance incentives in your new EPS guidance? I mean, how should we think about the risk of the project?
David T. Seaton: Well, I'll answer it this way. The bridge, as it stands today, is significantly more safe than the bridge they're driving on. The fix for the rods is well known and has been approved by Caltrans. That fix is not a long-duration fix nor is it an impact on our ability to open this thing on time. So I feel pretty good about the relationship that we've got with Caltrans. I feel good about the fix and how it will progress as long as we get the approvals from them to execute. There are some competing ideas on how you fix it, but Caltrans has already picked the fix and we're going through the process.
Operator: We'll go next to Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: David, in U.S. chemicals, in addition to the projects that you listed in the deck, I'm wondering if you could just give us your broad overview on the industry. How many more ethylene and propylene, new build products do you expect to reach final investment decision within the next 12 months? And out of those, can you give us a rough sense of how many you're pursuing?
David T. Seaton: Well, there's -- I think there's either 7 or 9 discussed in the open. I believe, by the end of the year, there'll be 4 sanctioned. I think that in addition to Sasol and Dow and the CPChem one, the other one is Shell Franklin. And I think that will be -- that decision will be made pretty quickly as well. We feel pretty good about having a pretty high batting average there. We're already batting 500.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And in terms of -- in Industrial & Infrastructure, excluding Mining, I wonder if you could just flush out the bid opportunities you see over the next 12 to 18 months? To what extent can you deliver backlog growth in that part of the business?
David T. Seaton: And I guess, you're talking about Mining and Infrastructure separately, is that your question?
Jerry Revich - Goldman Sachs Group Inc., Research Division: Yes, so -- and for -- so the I&I segment, excluding Mining.
David T. Seaton: I think it's going to be hard to maintain backlog in that segment in the near term. As I said, I think, towards the back half of next year is when Mining will come. I think we've got great opportunities in Infrastructure. We've got great opportunities in the Manufacturing and Life Sciences segment. But those projects just aren't big enough to keep the backlog static. So I think we will see some decline as we go through the end of this year and into next year. I think overall, I'm pretty pleased with the fact that we've kind of stopped the decline in backlog as a company when you think we've burned $7-point-whatever billion and we awarded $7.2 billion. So I think that's a good sign that the Oil & Gas engine is taking off, but we still have a good robust business in Mining. But I think for Mining backlog, to kind of change to that northerly trajectory, I think we got to get in to next year to see exactly what the Mining guys do and whether my prediction plays out or not.
Jerry Revich - Goldman Sachs Group Inc., Research Division: And you've had some pretty significant wins at Tappan Zee recently. Just to clarify the overall opportunities that -- on pure Infrastructure project, outside of Mining, is still as robust as it's been over the past couple of quarters. Can you just help us get a rough sense of how deep that pipeline of opportunities is?
David T. Seaton: It's pretty deep. But I think it's one of these things where the gestation period on these projects is pretty long. When you consider you're dealing with municipalities, in some cases states and the governments and the like, it just takes a little bit longer. I think earlier in the year, we were successful with Tappan Zee, we were successful with the Horseshoe project in Dallas, which clearly add to backlog and profitability going forward. It's -- they're in their early stages of some proposals right now. But my guess is that we won't see any real big awards in infrastructure until we get into fourth quarter or first quarter. But they're working on some really good ones. I'm really pleased with where they are.
Operator: We'll take our next question from Steven Fisher with UBS.
Steven Fisher - UBS Investment Bank, Research Division: I just -- on the guidance change, you didn't cite the LOGCAP slowdown, which, I calculated, at about $0.04 of headwind. Was there any other offset somewhere in there for that? And then, I guess, how surprised were you by that slowdown and how you're thinking about 2014? And then just one last one on the guidance of -- how does the Cerro Verde benefit in '13 compare against the headwind from Pascua-Lama?
David T. Seaton: Let me get the mining one. Pascua-Lama is basically delayed until we help them get their permit reinstated, and part of that is a water project that we're actually executing right now. I'd like to think that Pascua-Lama will be back on target as we get into next year. I think that Cerro Verde basically replaces what Pascua was doing relative to burn. So I think it kind of trades one for another. Now on LOGCAP, it's pretty consistent with what we thought. And I'll let Biggs talk about the numbers specifically, but we anticipated that there is going to be troop withdrawal in -- during this year, but holding pretty steady on our ability to -- the headcount that we have is supporting both the war fighter, as well as the infrastructure there in Bagram and the FOBs that are there. It's always anticipated that we would go down a little bit, which we're experiencing. They stayed pretty stable because when the military withdraws, if you look at Iraq as an example, they displace military war fighters with people like us until the withdrawal is effected. I don't believe you're going to see the 100% withdrawal that you saw in Iraq in Afghanistan. And I think the administration is saying that there's a fair amount coming home this year and a fair amount next year, but there'll be a significant force left behind that will be typically be housed at Bagram, which we're responsible for. So I think that, whereas it will drop and it will be a hole we've got to fill up in earnings going forward. It's not the cliff that I think a lot of people anticipate. Biggs, I don't know if you want to give any color to the numbers.
Biggs C. Porter: Yes, the -- without going -- and literally calculating variances on a cents-per-share basis, certainly, yes, lower volume on LOGCAP alone would create some reduction in the second half or the first half, but there are some other opportunities within Government. They have to offset that. Also, G&A is running better by example. Taxes had run better. There are -- so there are a variety of moving parts when we look at resetting or when we're tightening the range as to what we considered. There's probably a pretty good visibility for the remainder of this year on the LOGCAP run rate. I think it's too early to call 2014.
Steven Fisher - UBS Investment Bank, Research Division: Okay, that's helpful. And then just to follow-up on Andy's question on the Bay Bridge thing. Under what scenario or what's the risk that you have to take a charge on that or that it's a drag on earnings? And then I guess maybe conversely, is there a chance that you'd still have some upside to what you're accruing in earnings right now?
Biggs C. Porter: Well, we haven't booked the incentives. We typically don't book those until it gets to the point of having cleared all of the hurdles associated with it. So there's no risk associated with that from the standpoint of anything we have on the books. He asked, was it in our guidance? And explicitly, we don't put any one particular event or won't comment on it as to what's in or out in the guidance because we look at the prospects across all of our programs and all the potential outcomes and setting a range, and you could always say something is -- something is there in the range because we considered it. But it's also out of the range because others things could be there, substitution of it, so...
David T. Seaton: Well, I don't see any downside either because the design and the specification of those was done by the designer, which is Caltrans. We're just a constructor on that, so I don't see any repercussions relative to the solution.
Operator: We'll go next to Vishal Shah with Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: I just wanted to ask you a question on the backlog margin expectations. I know you mentioned that your margin dollars and percentages have increased over the last quarter. Can we expect that trend to continue for the next couple of quarters? Can you talk about some of the different moving pieces in the backlog? And also, on the I&I segment awards, excluding this one large mining award, your orders were close to $700 million, so should we assume that sort of the run rate for the next couple of quarters, or should we expect an improvement in that segment as well?
David T. Seaton: I don't think you can expect to have the I&I segment at $3 billion plus going forward. But I wouldn't say that it'd be a substantial drop. I think they've still got a lot of opportunities out there, so there's a little bit of a decrease in the short term on their new award intake. But again, I think the projects just aren't as big. But from a profitability standpoint, I feel good about where we're headed. Relative to the increase in margin in backlog, that's always the good sign for us that things are improving. I do believe that the quality of the backlog margin will improve as we go through the rest of this year and into next year. And it's going to be primarily driven by our E&C segment. So I feel pretty good about where we are and the trends that we're seeing. I wouldn't venture a specific number of quarters or a specific amount. But just directionally, it's improving and we expect that to continue for some time to come.
Operator: We'll go next to Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I guess, the one thing I wanted to talk to you about was the Power side. We've seen a regulatory impasse and paralysis. But as I hear the utilities calls and have been monitoring their recent announcements, seems like there seems to be some positive movement on retirements and new found replacement announcements. So would love to get your thoughts if you're feeling a little better on the visibility on the Power side?
David T. Seaton: I think we do feel a little better on the visibility. And the projects that are being decided are primarily on the gas side, as well as some typical of the plant betterment. You're correct, the lack of decision on the Casper rules, I think, put the power generators into a question of, how do we comply without clear direction? And I think that does delay any significant work on fixing the coal fleet. I do believe that they'll figure that out. But when I look at the plant betterment piece that we do on the coal fleet, I think there's a pretty good opportunity, even without the regulations that are necessary. But I'm particularly pleased with the power visibility to deal with the slowdown and do the right things relative to the organization and maintain their capabilities. A couple of these projects that are ongoing are -- we're able to train that next wave of construction superintendent, which I think is absolutely key to our future. This project that we announced that we hope that will be sanctioned from Dominion is another example of direct-hire construction. So I mean, they've kind of been beat up. We -- when I can tell you that within our company, we've beat them up on the lack of growth, but I do see some pretty positive signs. Like I said, as we get into next year, and if there is a decision on regulation, I think it only increases that -- the size of the opportunity for us.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Great. And just a follow-up to that. You had a nice return to profitability on the Power side this quarter. There seems to be some positive movement on headline news in regards to DOE. Any thoughts on new scale as you look forward which are incremental?
David T. Seaton: Well, we submitted our FOA, the proposal in June and we're eagerly awaiting that.
Biggs C. Porter: The decision will be in September.
David T. Seaton: The decision's in September. We continue to have dialogue with several potential investors, and I think it's going exactly as we had planned.
Operator: We'll take our next question from Will Gabrielski from Lazard Capital Markets.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: So as you guys think about the Gulf Coast and the amount of activity you're tracking there, what are you guys seeing develop maybe versus 3 months ago about potential bottlenecks, whether it's process engineers or craft labor? And as you think about your fabricating strategy, are there still holes you want to fill there? Or is the Philippines a real option for Gulf Coast fabrication?
David T. Seaton: Well, I'm excited about what's going on there. We know how to do this and I love it. The pinch points, I don't think you're going to be project management or engineering. It's like I said before, it's going to be craft and attracting that next wave of craft employee to our company and to the industry, frankly. And that's why we've stepped out and invested in some training centers, welding schools and making sure that we're taking advantage of the marketplace there with good talented people that have worked with us before. So we feel really good about our position in able -- in being able to execute on our commitments to our customers, even with the tightness in craft, and I think that's going to be the pinch point. Fabrication, the quick answer to your question is absolutely, the Philippines can be competitive. And in fact, in some of the programs we're looking at, we utilize that yard that we have in the Philippines. But we're also looking south to the yard that we've got with Grupo ICA in Tampico that we've owned for 10 years. We're looking at expanding that yard. And I think that, as I said, that's going to be the fun part. I feel really good about our ability to deliver on these EPC projects in the Gulf Coast. I'm excited about what's going on there.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And then a follow-up in terms of your margin commentary around Oil & Gas. I guess as you talk about being comfortable with lump sum, turnkey work and at the same time, we're talking about projects that might still carry a high level of CFM embedded in the dollars you booked. But as that lump sum works starts to move into backlog potentially here over the few quarters, should we assume obviously you're getting compensated for that risk?
David T. Seaton: Hope so. To try and answer, absolutely. We're looking at these projects like we should be looking at them, relative to the return on investment. But I caution you, from one perspective, don't just focus on the percentage, focus on the earnings dollars that are coming out of those programs.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And then my follow-up to that is -- because talk about the earnings dollars and not the percentages -- but the returns, I would presume then, should also be compared favorably to what you may have seen historically, even if the percentages are lower, as long as the dollars are up and you're not committing extra capital to these jobs? Is that fair, Biggs?
Biggs C. Porter: Yes. I don't see anything different about what will happen in working capital going forward, at this point, it ought to stay fairly normal relationships. So that's just one of those -- it should be normal.
Operator: The next question comes from Alex Rygiel with FBR Capital Markets.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Two quick questions. First, how would you characterize the mix shift in Mining -- from Mining into sort of your Infrastructure business? Should we think about that as neutral to revenue next year? And how should we think about it from a profit contribution standpoint, is it neutral or is it modestly incrementally positive?
Biggs C. Porter: Well, I think it's premature to give guidance next year. But just in terms of talking about what will drive margins over time, if you look out over a longer period of time, certainly Mining is a lower-margin business. So as we shift more to Infrastructure, we do expect a higher margin rate. Of course, once again, and as David said many times, we really worry more about margin dollars than we do about rate. But if you're trying to model it off of rate, you would expect a shift over time. That having said that, doesn't necessarily mean that there's some near-term dramatic shift because as we close out mining projects and eliminate contingencies, there's also a natural ability to have some improvement in margins if we successfully complete projects. So that will support some higher margin out of the remaining mining activities that are in backlog. And then the higher-margin Infrastructure activities is just going to layer on top of that, so...
David T. Seaton: Well, I think the only other thing I'd add is it really depends on whether or not my prediction is correct about mining projects coming back in the second half of '14.
Biggs C. Porter: Right.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And lastly, on cash flow in the second half of the year and cash uses and possibly accelerating your buyback program, should we think about sort of the cash sitting on your balance sheet as cash that's not going to be tapped for future uses of buyback program or acquisitions and, therefore, think that only future cash flow generation would be allocated towards those uses?
Biggs C. Porter: Well, we do time our -- base our purchases, based upon cash flow. So for the most part, we don't go in and tap cash on the balance sheet. There is some amount of flexibility there, but our tradition is just a conservative and only repurchase based upon cash as it's generated. The amount of cash in the balance sheet, obviously, has got some different components to it. It's got some amount to it, which is tied up in JVs and some which is restricted to projects based upon the structure of the advanced payments we have with some projects. So it's always a little complex when you start to dive in and say how much of that is something we're comfortably [ph] using or not. Plus, on top of that, we like to keep $1 billion or so in cushion for normal ebbs and flows of the business. So I won't say there is 0 flexibility there, but our tendency is to base repurchases on cash generated as opposed to what's already there on the balance sheet.
Operator: We'll go next to Andrew Wittmann with Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: David, so a couple of your competitors talked about some of these large Oil & Gas projects seeing some pushouts or delays in general. I just wanted to get just your kind of take on that on some of these other ones that you're working on, FEED, or maybe almost looking at doing FEEDs.
David T. Seaton: Well, I'll make a couple of comments. One is, the projects have gotten so much larger that companies are taking one more quarter to take a look at things and one more quarter to get the sanctioning from their boards. But I would suggest that even with that, it's kind of in line with what our expectations are. When I think about the CPChem project that's pending, they stuck with their schedule. And in all cases, Dow, both in terms of the cracker and the PDH plants that we're doing, stuck to the schedule that was -- what was originally planned. And as far as that schedule sanctioning, I don't think you're going to see any difference in Sasol, I don't think you're going to any difference in Shell in that first wave. And when you think about GTL, when you think about LNG, those projects are on track along with schedules that we saw. So yes, things have been pushed back, but not in an unanticipated fashion, if that makes sense.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: And just maybe your thoughts on the LNG and kind of the approval process that's been going on broadly for those opportunities in the U.S. and with the DOE? Kind of what's your expectation for the cadence of those approvals coming out and how does that affect your outlook there?
David T. Seaton: Well, I'm not sure I would venture a guess as to what the -- how the government -- how quickly the government's going to work. I think that, as I've said, shale gas, it's got 4 uses and it's going to be -- the cadence of them is going to be based on product. Petrochemical obviously in the beginning, I think some Power work is second. When we think about Dominion and we think about the LCRA project that we're doing in Texas, I think GTL is probably behind that and then LNG for export behind that, and it's just a timing issue. So when you think about it, the biggest issue is, can they get export licenses? But they're not going to export anything for 4 years, even if you started the first one today. So I think they're going to go along their normal schedule and it's in line with -- as I said in the previous question, it's in line with our expectations on timing. It's just going to take some time. But again, these are huge investments that these customers are making. And I think that their own diligence is going to drive schedule decisions more so than regulatory decisions.
Operator: And the next question is from George O'Leary with Tudor, Pickering.
George O'Leary - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Talk a little bit about kind of the timing around expectations on Kitimat given your presence on kind of the rework of the FEED there by Chevron and then maybe some more color on timing around Mozambique project as well?
David T. Seaton: Well, Mozambique, the schedule on that is sometime in '14 for the decision on who goes forward because that's a competitive FEED that we're doing. So it's on track for some decision sometime mid next year. Kitimat, I'm not sure what that schedule is. We're very pleased to be a participant on that project and doing a little bit of early works on that. Others have done the same thing. But I wouldn't venture a guess on the schedule. I would make this comment though, and I think my competitors would agree with this. These projects are large and in some cases, nobody's going to get the whole thing. In some cases, they will, but I would say, when you look at some of the bigger LNG plants and the GTL plants, there's going to be several of us successful on significant pieces of those projects. I tend to believe that Fluor is in a good position to do very, very well. But others will get work in this boom as well. So let's make sure that when people talk about a $10 billion LNG plant, I don't think anybody's going to get $10 billion of any of them.
George O'Leary - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: That makes perfect sense. And then if you just -- speaking generally, if you look outside of the U.S. and Canada and you talk about being at least equally as excited about the international opportunities, could you talk about what regions are driving that and maybe what end markets within the regions are driving the excitement on the international front?
David T. Seaton: Well, it's the same dynamics. But I think the regions -- we're still excited about what's going on in Canada. We see growth in Canada. The Middle East, we see great opportunity there, notwithstanding some of the political challenges on things like the refinery work in Kuwait, but we still see great opportunity there. We continue to see growth in Russia, primarily Sakhalin, and have done, I think, very well there. China is still a good place, even though you've seen the slowdown either from a petrochemical and a refining perspective. They've got to keep up with not only demand, but in some cases, they've got to improve the environmental natures of their fuel if they're going to compete on the world market. So when you think about China, you think about Southeast Asia, Malaysia, Indonesia, Vietnam, all of these places have, I think, growth opportunities for us. Australia, it's kind of interesting. They're taking a little bit of hiatus on the mining side, but they're also trying to think through some of the dynamics around LNG export. We're very successful in the upstream piece of Santos, and I think that will continue. But you're seeing people like Shell kind of pull back on projects like Arrow, so I think there's a little bit of a wait-and-see attitude with regard to Australia, but still, I think, a significant opportunity for Fluor. South America, both in terms of Brazil, Mexico and Argentina, we see growth opportunities in Oil & Gas. So it's a pretty global business, and I think Peter Oosterveer and his team have done an outstanding job of diversifying the client base and diversifying the region to where we're not as beholding to a single country or region going forward. I'm very bullish on what Oil & Gas is doing. I'm very bullish on what Mining is doing. I mean, if you think about it, they went from a full out run to hitting a little bit of a wall. And I think they've done a great good job of doing the right things in managing their business and making sure that they're maintaining the position with the customers and making sure that we are there when the crank gets turned again. So I think geographically, there's really no weak spots, particularly given the petrochemical resurgence in the United States.
Operator: We'll go next to John Ellison with BB&T Capital Markets.
John D. Ellison - BB&T Capital Markets, Research Division: In regards to M&A, are there any sectors or areas that you'd like to expand into through acquisition going forward?
David T. Seaton: I mean, I think there's places within existing markets where we could strengthen our offering, and we're actively looking at that. When we've talked about this in the past, there's really no consolidating moves that make sense, so I think they will be niche in nature. Some of them small, some of them larger. I don't want to pigeonhole, but in a region I say that it's a precursor to the example I'm going to give you. We bought a company in Mozambique called ServiTrade that has an equipment business, but also owns one of the concrete batch plant -- one of 2 concrete batch plants in the country. So that was a nominal investment to make sure that whoever needs the concrete can get it from us, as an example. So you're going to see us make acquisitions to give us a foothold in a specific country of growth. I think you'll see us make some acquisitions in places where, from a technical perspective, we need -- we've got a little bit of a deficit. But I think the beauty of Fluor is we're so diverse in terms of market and geography that we really just need niches to gain that foothold. And I think that's what you can expect going forward.
John D. Ellison - BB&T Capital Markets, Research Division: Okay, great. And my last question, you mentioned that you're training craft labor down the Gulf Coast, in particular, for the Dow Chemical project down there. Is this allowing you to mitigate a meaningful amount of the labor or wage inflation? And do you expect that the impact of these programs will allow you to better position, I guess, for bidding competitiveness?
David T. Seaton: Absolutely. Absolutely. But I think fabrication has a piece in that as well because part of mitigating the craft risk problem is taking some of the work off the site into a controlled environment. And when you think about the yards that we've got, basically, we're mitigating that risk and controlling our own destiny, which is something that I've said in the past. So I think when you look at owning the craft and owning the fabrication, you have the ability to mitigate a lot of the risk on costs that exist and hence, give you better predictability, even in a lump sum environment. So I think we've done some things really, really well to prepare for a change in the marketplace, particularly in the United States, and we're in a good position to capture that and deliver the -- expected profitability.
Operator: We'll take our next question from Robert Connors with Stifel, Nicolaus.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: If I recall correctly, one of your Middle East petchem projects had sort of come as one lump sum award because you didn't -- or the client didn't want to have to go back through NOC and government approval. Just wondering if that's the same for a lot of the Gulf Coast crackers, or are they going to be phased? And if so, what parts of the project you're receiving now and what scope expansions we could receive later?
David T. Seaton: Well, in terms of Dow, that full EPC value is in backlog and we're blowing and going on, on that cracker. With regard to Sasol, we're in the FEED phase. There's a sanctioning somewhere towards the end of this year, early next year, for that full EPC to be released. The CPChem job, we're awaiting decision or the information on that, that would start into -- that would be basically a full EPC award. I think Franklin follows the -- Franklin project for Shell follows the same model, so it's upon us. And I think the next big piece in Oil & Gas is the release of some of the FEED work on the GTL-type projects in the Gulf Coast, so it's -- I mean, we're kind of in, I think, a long-term growth spurt that really fits us well.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: Okay, great. And then it was sort of hinted at before, but with possibly a little bit more lump sum being awarded in the Oil & Gas segment. Was just wondering if the earnings profile sort of changes the traditional Oil & Gas where we could see it more like a Power and Infrastructure, some of the earnings are back end loaded of a project.
David T. Seaton: Yes, that would be my expectation.
Operator: And we'll take our final question from Mike Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: That's it. I'm all set, guys.
David T. Seaton: Okay. Thank you, operator, for managing that for us, and I really appreciate everybody participating on the call this morning. Overall, I think we delivered another solid quarter for both in earnings and a new award perspective. I'm really confident with regard to our market position in things like petrochemicals, but I don't dismiss mining in some of these other businesses that we are equally well positioned. But in the case of E&C, I do see significant upside and additional EPC wins as we go through this year. We will continue to win the FEEDs on many of these programs, and I -- as I think I indicated, I'm pretty excited about the LNG export facilities that we're pursuing, as well as the gas-to-liquids market here in the United States, as avenues for growth. Finally, I think we have a strong slate of international projects. So it's interesting to talk about the United States again because it's been such a long time that we -- since we've had significant economic development in the U.S. But our international prospect list is just as long, and I continue to be very encouraged by our opportunity to grow the company. With that, again, I really appreciate your interest in our company, as well as your confidence in Fluor. I hope everyone has a good day, and goodbye.
Operator: Again, that does conclude today's presentation. We thank you for your participation.